Operator: Hello. And welcome to the Q4 2012 Franklin Covey Company Earnings Conference Call. My name is Maisha, and I’ll be your operator for today’s call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note this conference is being recorded. I will now turn the call over to Derek Hatch, Corporate Controller. You may begin.
Derek Hatch: Thank you. Good afternoon everyone. On behalf of the company, I would like to welcome you to our fourth quarter and full fiscal year webcast this afternoon to discuss our financial results. Before we get to the good stuff, however I want to remind everybody that this presentation contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are based upon management’s current expectations and are subject to various risks and uncertainties including, but not limited to, the ability of the company to stabilize and grow revenues, the ability of the company to hire productive sales professionals, general economic conditions, competition in the company’s targeted marketplace, market acceptance of new products or services and marketing strategies, changes in the company’s market share, changes in the size of the overall market for the company’s products, changes in the training and spending policies of the company’s clients, and other factors identified and discussed in the company’s most recent annual report on Form 10-K and other periodic reports filed with the Securities and Exchange Commission. Many of these conditions are beyond our control or influence, any one of which may cause future results to differ materially from the company’s current expectations, and there can be no assurance the company’s actual future performance will meet management’s expectations. These forward-looking statements are based on management’s current expectations, and we undertake no obligation to revise -- update or revise these forward-looking statements to reflect events or circumstances after the date of today’s presentation, except as required by law. I’d like to invite to read the other remaining stuff on the slide regarding Regulation G of the Securities Exchange Commission and our definition of adjusted EBITDA. And with that, certainly, I would like to turn the time over this afternoon to Bob Whitman, our Chairman and Chief Executive Officer
Bob Whitman: Thanks, Derek. Hello to everyone. We appreciate you joining us today. We are pleased to report that we had a very strong fourth quarter and fiscal year, turned out to be the strongest quarter and year ever for our current business. And during our third quarter earnings call, we announced an increase in our adjusted EBITDA guidance range between $26 million and $27 million for the year. We were pleased that given the strength of our fourth quarter revenue and adjusted EBITDA results, our full-year adjusted EBITDA actually increased $27.1 million slightly exceeding the upper end of our increased guidance range for the year. Adjusted EBITDA of $21.7 million represents a $5.9 million or 28% increase, compared to the $21.2 million in adjusted EBITDA achieved in fiscal ‘11, which in turn was up substantially from $14.4 million in adjusted EBITDA we achieved in fiscal ‘10. We continue to feel very confident about our business and about our prospects for continued strong growth, each of our channels impacts seriously. We also feel very good about our momentum, the trajectory of our business in the coming quarters and our outlook for continued growth in fiscal 2013 and beyond. So today, I really I like just to touch on three topics briefly. First, review of our overall financial results for the quarter and the year. Second, review our results for each of our channels and practice areas. And finally, review our momentum business pipeline and outlook for fiscal 2013. So I’d like to start with an overview of the financial results for the quarter and the year. Starting with revenue, we achieved strong revenue growth for the fourth quarter and for the year. And the fourth quarter revenue increased $6 million to $51 million, a 13.3% increase compared to the $45 million in revenue achieved in the fourth quarter of fiscal ‘11 and the very first time that we’ve exceeded $50 million in revenue for the quarter. Our revenue growth is very broad-based with growth in all of our major channels. And for the full fiscal year, revenue increase $9.7 million or 6%, all of which was organic. This is on the heels of an extraordinary fiscal ‘11 where revenue $23.9 million or 17.5% and that growth was significant, enhanced by our large government contracts, about which we spoken previously had been awarded during the last quarter of fiscal ‘10. Excluding our government services which had an expected $3.4 million year-over-year decline in revenue in ‘12 compared to ‘11, due to the maturation of that large government contract, revenue in the rest of the country grew $13.1 million or 9.5% for the year. As shown in slide three, on a two-year basis, just two years normalized for the significant revenue from that government contract, the $170.5 million revenue achieved in fiscal ‘12, represented a $33.6 million or 25%, two year increase compared to the $136.9 million of revenue we had in fiscal ‘10 which will give us a compounded growth rate of 12%, all of which was organic. Second point is they are high-end increasing percentage of revenue flow through the increase in adjusted EBITDA, income from operations in net income. As shown in slide four for adjusted EBITDA, adjusted EBITDA for the full-year increased $5.9 million or 28% to $27.1 million as noted before, compared to 21.2 million in fiscal ‘11 which in turn was up substantially from $14.4 million in fiscal ‘10. For the first quarter, adjusted EBITDA increased $3 million or 45% to $9.6 million compared to $6.6 million in the first quarter of fiscal ‘11. Adjusted EBITDA for both the quarter and for the full fiscal year were our best ever for our current business. For income from operations, income from operations increased by $6.5 million for the year to $17.6 million, 58% increase compared to the $11.1 million in income from operations in fiscal ‘11 and up from $4 million in fiscal ‘10. And for the fourth quarter, income from operations increased $7.7 million, which was a $4.4 million increase compared to the $3.3 million achieved in first quarter of fiscal ‘11. Net income for the year increased by $3 million to $7.8 million or $0.43 a share, a 63% increase compared to the $4.8 million or $0.27 a share net income achieved in fiscal ‘11. This reflects both the strength of our operating performance and an improvement in our effective tax rate. For the fourth quarter, net income increased $400,000 to $3.4 million or $0.18 a share compared to $3 million or $0.16 a share in the fourth quarter of fiscal ‘11. Maybe worth nothing, these operating results are being achieved, estimating very significant ongoing gross investments in the business for R&D practice, staffing and managing our practices, new marketing, hiring new client partners and trading consultants and event marketing people and building and mentoring trading infrastructure with our direct offices and the international licensee partner growth. Specifically, in fiscal 2012, $27.1 million of adjusted EBITDA was achieved after expensing almost $16 million in gross investments in the year. So as you can see, we’re not holding back on investing in the business, we see extraordinary upstream for continued growth. We have lot of conference in achieving great returns on these ongoing investments. We’ve been doing it for years. And we now have high confidence that we can make these investments in new client partners and sales people and marketing events such as they’ll payback. Third point about our financial results is that our cash flow was also very strong for the fourth quarter and for the year. Our net cash generated which is version of free cash flow for the year increased by $6.6 million to $22 million, up 44% from the $15.4 million we achieved in 2011, which in turn is up from $12.1 million in fiscal ‘10. For the fourth quarter, our net cash generated increased $8.2 million, an increase of $3.3 million of 66% compared with $4.9 million in the fourth quarter of ‘11. Turning to our cash from operating activities, although adjusted EBITDA increased $5.9 million for the year, our cash flow from operating activities of $15.6 million at year-end was approximately even with that achieved in fiscal 2011, which reflected the increased cash required to fund investment capital needs $5.7 million year-over-year increase in accounts receivable resulting from our high sales in the fourth quarter. As in the past, we expect these receivables from our seasonally high fourth quarter sales will be converted into cash in the late first quarter in early second quarter resulting an significant increase in cash from operating activities. Finally, our adjusted EBITDA margin also extended during the year in the fourth quarter. As you can see in slide six with a significant flow through of increased revenue to increases in adjusted EBITDA, our adjusted EBITDA as a percentage of sales increased to 15.9% for the year, up from 13.2% in fiscal ‘11 and 10.5% in ‘10. And for the fourth quarter, adjusted EBITDA as a percentage of sales increased 18.9% compared to 14.7% in the fourth quarter of fiscal ‘11. So with expected continued revenue growth and continued high flow through of incremental revenue to adjusted EBITDA, we expect our adjusted EBITDA margins to continue to expand and believe it should reach approximately 18% on the full-year basis over the next two years. And then I just briefly review our revenue performance in each of our channels and practice areas. For our direct offices in the U.S. and Canada, they grew 16% -- revenue in those areas -- our direct offices in U.S. and Canada grew 16% in the fourth quarter. For the full year, revenue in these direct offices grew 2%. Excluding the government services region which we know we had this planned 15% decline in revenue relating to the maturation of the large government contract. Other direct office in U.S. and Canada achieved revenue growth represent for fiscal ‘12 that was very strong 16% revenue growth in 2011. In our national account practices, fourth quarter revenue grew $1.4 million to $10.2 million representing growth of 16% compared to the $8.8 million revenue achieved in the fourth quarter of ‘11. As you can see in slide seven, for the year revenue in our national account practices grew $4.6 million to $27.4 million, representing a 20% growth in fiscal ‘12 compared to fiscal ‘11 and growth of 41% compared to fiscal 2010. Our international licensee partner revenue continue to grow and grew 13% in the fourth quarter and 14% for the full fiscal year. This growth reflects our continued penetration in China, Singapore, Middle East, India and other emerging markets, as well as general growth worldwide. We continue to have significant opportunities for growth in our licensee operations, including first organic growth is existing licensee countries continue to increase the size and productivity of their own sales forces. Second, having more of their new practice area content to their existing mix of offerings, and third activating countries which are currently covered by license agreements but where revenues are currently extremely small. In our international direct offices, revenue 0.5% of the fourth quarter and 5% to the full fiscal year primarily results strong revenue growth, that’s 13% in our Japanese operations and corporate facility in U.K. offset by a decline in revenues in Australia. For the past, two years revenue in international direct offices has grown 19%. Finally, in our seven practices areas as you can see on slide eight. In the fourth quarter four of these seven practice areas achieved, led to really dramatic growth, with revenue growth of 44% in our productivity practice reflecting the successful launch of our new five choices offering, 31% in our Trust Practices, 40% in our educational practice and 32% in our execution practice. Revenue in our leadership price remained approximately flat for the quarter with 1% decline. And first quarter revenue declined in our customer loading price in our sales performance practice reflecting primarily a transition trade in both practices were revenue from certain large account that were there in the prior year declined year-over-year in the quarter. Now, they had both got a number of new accounts. Those accounts were still in their early ramp up stages during the quarter. The full fiscal year, five of the seven practice areas experienced gross during the growth with revenue growth of 40% in our education practice, 35 in productivity, 8% in sales performance and 5% in execution. The plan reduction revenue from the large government contract -- from that contract resulted in only modest growth in our Trust Practices since lot of content they were trailing on was in trust and the slight decline in revenues in our leadership practice, whereas noted in customer royalty, it was down 8% for the year with the timing of the plan decline in the revenue from the one large contract more than offsetting the ramp up of six new contracts won during the last part of the year. We’re very pleased and encouraged by the strong results achieved in the fourth quarter and for the year. And maybe I’ll just may be segue from there into some few comments about our momentum outlook for the coming year. So now momentum in our business continues to be very strong and very broad based. First, our pipeline of booked days and awarded revenues, you can see on the slide nine, which is business already booked to awarded outside direct offices in U.S. and Canada in our national account. Our national account practices grew to $33.8 million at the end of the fourth quarter reflecting a $4.1 million or 14% year-over-year increase compared with our $29.7 million pipeline at the same time last year. As growth in our pipeline in booked days and awarded revenue made our pipeline the largest ever starting the new fiscal year. Now, prospective business pipeline for our five direct sales forces in North America and four our direct offices in U.K., Japan and Australia, we also track what we call our prospective business pipeline which is a measure of the amount of potential new revenue currently being discussed with and proposed to existing and potential clients. This prospective business pipeline is one stage here at our business development process in our pipeline to book days and awarded revenue, which is actually contractual. And historically, it’s have been a strong predictor of the strength in our bookings and revenue in the coming months in quarters in these offices. We are very encouraged that our prospective business pipeline at the end of the fourth quarter was significantly larger than at the same time last year, indicating strong and accelerating momentum which we expect will convert to increased bookings and contractual commitments in coming months and quarters. In fact, the conversion of this large perspective business pipeline at the end of the fourth quarter has already begun to translate into significant new contractual bookings in fiscal 2013. Final factor underpinning our momentum is and one of the most important is the continued growth trajectory in terms of hiring and ramping up new client partners who are sales people. In our third quarter conference call, we report there are cumulative net additions with client partners who are U.S. and Canada-based sales forces from 2005 to 2011 totaled 47, and that we’d also added an additional 13 net new client partners in our international direct offices through 2011. We also report these new client partners had achieved a revenue ramp up which was somewhat ahead of our model generating $29.9 million in revenue in fiscal ‘11 compared to our expected ramp up model that would have called for $25.2 million, so they’re about $4 million ahead, little more than $4 million ahead. As shown in slide 10, in fiscal 2012 we increased our cumulative net new hires in U.S. and Canada from 47 to 62. It also added six new client partners in our international direct offices making the total around 21 for the year. Then this cumulative group of new CPs generated revenues of $40.5 million in fiscal ‘12, which also exceeded their -- the cumulative expected ramp up revenue target of $35.7 million. At the end of fiscal ‘12, our total number of client partners was 120. As you can also see in slide 10, we expect to add additional 25 net new client partners in these offices in 2013 plus an additional at least five net new client partners at our international direct offices and seven of these new client partners, who already been hired in the first two months through our first quarter and have a big size pipeline with people with whom we’re working right now. So given those factors, the strength of our fourth quarter performance and full fiscal 2012 performance momentum, we’re continuing to see in the business. This reflects in both the size of our pipeline based in the revenue and the magnitude of our perspective business pipeline. And the fact that there -- it was continued growth in the size and productivity, we had direct sales forces and among our international licensee partners, we are very excited about the positive momentum and trajectory of the business and what that indicates for the coming quarters and for 2013 as a whole and beyond. It’s a consequent for setting out fiscal 2013 full-year adjusted EBITDA guidance range of between $30 million and $32 million. So to summarize, we’re pleased with the results and momentum of the business. We expect to be able to continue to achieve both strong top and bottom line growth during fiscal 2013 and beyond. And I thank each of you for your continuing support and guidance. Now, I’d now like to turn the time over to Steve Young, our CFO for some brief remarks. And then open it for questions. Steve?
Steve Young: Thank you, Bob and good afternoon, everyone. I’m also very pleased with our financial results for this quarter and for the year. Bob has given a lot of the very important highlights. So, let me just say a little few words about our balance sheet and our cash flows and a little bit about next year. First the balance sheet, our balance sheet remains strong in my opinion and balances are still generally within the expected ranges. Our cash balance increased to $11 million and we have no borrowing against our revolving credit line. Our account receivable balance is up over last year, due primarily to significantly increase sales in the fourth quarter and particularly in the month of August. Additionally, on our balance sheet, we classified a portion of our FCOP receivable as long-term to reflect the timing of our expected collections. And accordingly, we discounted that amount to reflect the time value of money. We expect to collect at least $3.5 million in cash from FCOP in the next three month. You might note that, a number of common shares outstanding at August 31st was $18.1 million reflecting in that number. There is an exercise of $1 million warrants for about 341,000 shares. We also have noted probably that we have initiated buying under our Board authorized $10 million stock buyback plan and had purchased about $400,000 worth of stock by year end. As I always say, if you are new to the story, I strongly encourage you to call me to talk about our balance sheet. And particularly, our financing obligation that’s really like a capital lease. Our tax NOLs and foreign tax credit, our future share account and our real estate operations. I really enjoy these conversations and they generally turn out to be positive and shed some light on this, often misunderstood account scenarios of our business. As Bob mentioned, we continue to invest in our curriculum. We spend more than $2 million this year directly on the outside cost related to curriculum, we will spend a $1 million more than that in this coming year. We’re committed to always spending significant amount and investing in our world class courses. In fact, we’ve targeted 4% every year just for this part of our investment in our courses. We continue to benefit for net operating loss carry forwards and used foreign tax credits. Our cash paid for taxes this year was only $2.3 million in cash reflecting that benefit as our NOL’s and foreign tax credit are concerned, we’ll have the opportunity and pay more ordinary tax announcement in this coming year. We’re expecting now to pay for taxes to quite in -- increased quite a bit to perhaps $5 million to $6 million even though we still have net operating loss carry forwards available we run into a few limitation on how much we can use in a year. So, we expect to continue generate cash in the future -- in our future year as we talked about before. I’d now like to talk about some straight numbers. These are numbers that people are often interested in and we talked about, so let me just go through a few of these. The amount of our share-based compensation this year that is included in SG&A and excluded from adjusted EBITDA was $3.8 million. The amount of share-based compensation next year is expected to be less than $2.5 million. The amount of product amortization cost in cost of sales is $1.8 million this year and next year will be approximately $2.3 million. Depreciation and amortization expense this year totaled $5.5 million. And we expect depreciation amortization to be about the same amount next year. Interest and discounting cost this year totaled about $3.9 million. We expect that amount to be approximately $2.9 million next year. And our effective tax rate, which historically has been very high, as you know, this year is approximately 43%. And next year, we expect our tax rate to be between 42% and 44% or about the same just a little bit higher or a little bit lower, but in the same range. So, we’re pleased with our performance in this quarter and this year. We’re pleased with our strategic direction. We’ll continue to invest in our growth and growth strategies and we expect to generate cash. And so we’re pleased with where we are. With that, I’d like to turn the call back over to the operator to open up the line for questions.
Operator: (Operator Instructions) Our first question is from Omid Eftekhari with Roth Capital Partners. Please go ahead with your question.
Omid Eftekhari: Thank you. Good afternoon, guys.
Bob Whitman: Good afternoon. Omid, How are you?
Omid Eftekhari: Doing well. How are you?
Bob Whitman: Good. Thanks.
Omid Eftekhari: First question I have is on the international licensee business. Curious if you can give us some more color behind the 13% growth here by curriculum maybe or just by geography?
Steve Young: Sure. Hi, Omid.
Bob Whitman: Hi. This is (inaudible). I’ll let Shawn to give the answer overseas that business.
Shawn Moon: Okay. Hi. This is Shawn. Yeah, so a little bit of insight on that. We’ve had good solid growth over the past many years. If you look back a last eight years has been pretty solid at about 12%, 13%. This last year, we grow 14%. The growth is pretty evenly spread out. I think we were seeing higher growth in Asia generally then in Europe. Our highest growth areas right now are the bigger countries, because we’re putting more behind them. So China, very strong growth in China last year about 10%, India grew at about 30%. Good growth in Thailand, very strong country and most of our operators in Asia are doing pretty well. Latin America, Colombia is growing well. Brazil is growing well. Our revenue distribution, if you just look at where our revenue is coming from, it’s about 50% from Asia, about 30% from the Europe and about 20% from Latin America. Now, most of these countries are pretty under penetrated. And so, that’s where we think the biggest opportunity is. If you would compare the penetration level, market penetration level of our country across the board, we’ve got 39 partners operating in our 144 countries. Our penetration level is about one fourth that of the U.S. And so, we’re doing about $10 million for example in revenue in China. And if we are doing the same with the U.S., it would be more like $40 million. So, we think the opportunity for further penetration is very strong across the board. And the growth -- we also have many countries that are hardly even touched on yet. For example, Germany is a huge economy. It’s got a very small operation there. There’s a lot of opportunity there. France is another one big, France and Italy are both big opportunities, big economies but we have very little penetration. So, just looking at the future, it’s very clear, we’ve got a lot of strong growth opportunities in penetrating deeper in some of these key countries and activating countries that are currently doing almost nothing. And then in terms of product mix, that’s another big growth opportunity, because about 70% of our mix is coming right now from one category, which is leadership and compared to about -- that’s about 25% in the United States. So, we are doing most of our business through one practice. So, as we build other practices such as education and execution and productivity, which we’ve been very little with yet internationally there is a lot of growth opportunity there. So as looking forward for the next year, we think we can anticipate good solid growth with our partners. So that, does that answer your question or do you have any other?
Omid Eftekhari: Yeah. No. No. That was very helpful. Thank you. And second question, I was curious what the average revenue per salesperson was at the end of the quarter end and for the full-year?
Bob Whitman: For the full-year, this is Steve. This would be to be approximately right, about $1.580 million for the salesperson who has ramped up. So for person who has gone through the ramp has been here all the time necessary to get through ramp is just over $1,580,000, that’s up from about 800,000 in 2005. And then for overall including our new salespeople, we agree of the need for all salespeople about $1.1 million and that includes lot of people who are just starting out ramp and we expect most people to ramp to at least $3 million and then continue to increase the productivity thereafter. So, that’s where it was for this last year.
Omid Eftekhari: Okay. Great. And then, if I recall correctly was about $1.2 million last year, correct?
Bob Whitman: I think it’s about $3 million. I think when we saw the $380 million was the actual for the -- I think sometimes we mix the two numbers and even so I think for those people who ramped up last year were about just about $1 million or maybe was close to $1 million, $2 million or $3 million. So I think it’s a $3 million actual number and then less for the people in ramp and so this is good increase in productivity for the average salesperson in addition to the continued ramp up for the salespeople.
Omid Eftekhari: Right. Okay. And then final question is on the SG&A leverage. I mean we saw pretty big decline year-over-year and you touched on it little bit, but curious what’s your expectations are for next year if we can expect further improvements or any kind of color would be helpful here?
Bob Whitman: Steve?
Steve Young: Well, in our SG&A category, we have as you would expect cost that are variable and that will increase like our commissions paid to salespeople. We will continue to have increased cost related to hiring of new salespeople and the direct support of salespeople. So, those are items -- those are areas where cost will increase in this coming year and we’ll continue to increase as we grow. And then there are other costs that are related to our corporate overhead and those central type costs that are more fixed, but in the future should be a decreasing percentage our overall revenues. So, the combination of those should provide a little bit of improvement in the percentage of SG&A compared to revenue. And then all of that would be impacted by anything we might choose to do on top of that like a marketing promotion or something might just impact for a short-term. But overall we would see a decrease in percentage that is a good part of the reason, why we would expect our adjusted EBITDA to increase to 18% in a couple of years.
Omid Eftekhari: Okay. Great. That’s helpful. Thanks, guys.
Bob Whitman: Thanks. Maybe just one addition to that on we just that in our direct offices in the field we -- and for every operation in the company we really had to model. So they are targeting toward and so we expect that even with the grow -- as we grow salespeople, sales support people et cetera there, the field office level in the U.S. and Canada will be able to maintain EBITDA contribution margins about 35%, net of those additions. In our international direct offices they come -- they don’t have the same central support that U.S. offices do. It’s more in the range of 22% to 25%, the target is 25. And so, I know we spend about 4% on R&D and so it is just what we have saying was, Steve said, that our central staff really hasn’t increased on a net basis. There are number of people in the central office here has remained about the same for the last two or three years, outside of the U.S. We don’t expect that to increase. And so, we have kind of we call the pod model, which is wanted to take the support the salespeople and ramp them up between the salesperson and marketing investment et cetera. And we think that those are -- be able to contribute mid-30s contribution against relatively fixed cost and that’s just another way of cutting the same issues, which is that in a given quarter you might have more expenses for user product launch or something. But in general, we are trying to have everybody run against the specific model that we will continue to drive our EBITDA margins.
Omid Eftekhari: Okay. Great. Thank you.
Bob Whitman: Thanks so much. Great questions.
Operator: Thank you. Next question is from Joe Janssen with Barrington Research. Please go ahead with your question.
Joe Janssen: Great quarter.
Bob Whitman: Thank you so much, Joe.
Joe Janssen: Hey, just kind of building of that previous question. Historically, I thought about this and you’ve talked about this. The follow through on incremental revenue in that range of kind of 35 to 45 and I think we’re kind of trying to hit this point in a previous question. Are we anyway, if I look at your run rate what you don’t lately it’s been trending greater than 50% if I done my math right. I mean should I -- we think this or is that incremental revenue flow through about 35 to 45 still accurate, because you’ve been trending higher?
Bob Whitman: Well, we have been trending higher for the last several years. And I think it’s possible that it will be a little big higher. But as we accelerate the number of people that we’re hiring, as I mentioned would accelerate the number of new client, partners that we hired in those coming year, as we build out the practice et cetera. I think just or it maybe a bit higher than 35 to 40. But I think if we can keep our central cost in good shape, it’s in that -- I think it will be some of that we really can make more investments to grow a little more rapidly and sort of probably come down a little bit relative to the recent years.
Joe Janssen: Okay. And then any effect from the hurricane over the northeast expected in Q1, anything we should be looking for?
Bob Whitman: Yeah. Shawn Moon. You’re on again.
Joe Janssen: Yeah.
Shawn Moon: Good to talk with you, hello. It has had an impact on our business there. And they are hurt all by this nasty Nor’easter and that has resulted in several programs that have postponed. We don’t anticipate the long-term cancellation of those things. It’s just simply a matter of shifting when those programs are delivered. And with our first quarter ending on the end of the month, this month. We are not able to get all of those reschedule, but in fact many of them of are looking like -- if not most are looking like they are going into second quarter. So there is an impact.
Joe Janssen: Can you quantify them, because I’m assuming those who are sitting in the pipeline?
Shawn Moon: I’m sorry. Say it again.
Joe Janssen: Can you quantify that on the pipeline, like you exclude that and compare like an apples-to-apples basis like, because you’ve had accelerated pipe in Q4. When you guys reported, I’m assuming there’s some lumpiness in the pipeline?
Shawn Moon: Yeah. For the quarter, we anticipated it could be as much $300,000 to $400,000 of revenue.
Joe Janssen: Okay.
Bob Whitman: Yeah. So it’s not a huge number but it will probably, could affect revenues 1% or so.
Joe Janssen: Okay. And one last question just on the education practice. I think you’ve talked to about 800 schools in the U.S. and Canada but another 100 outside. What are your expectations if you look into 2013, where do you think those numbers will fall out at?
Bob Whitman: Sure, well the growth continues to be pretty strong. We think we will add probably another 300 to 400 schools I think next year and that will keep accelerating. I think we could be -- our target is to be at the 10,000 schools in U.S. and Canada, 300 to 400 next year will be a good estimation. And a probably another 100 outside of the U.S. we have, The Leader in Me, which is the solution we are selling in education, which is a school transformation process is now in about 22 countries. Some of these are pretty substantive. So that’s the plan.
Joe Janssen: Okay. Great. Appreciate it. I’ll jump back in queue. Good quarter.
Bob Whitman: Thanks, Joe.
Operator: Thank you. Next question is from Marco Rodriguez with Stonegate Securities. Please go ahead with your question.
Marco Rodriguez: Good afternoon, guys. Thanks for taking my questions.
Bob Whitman: Hey, Marco.
Marco Rodriguez: Hi. I just want to get a clarification. Did you say that you had 120 sales people at the end of the year?
Bob Whitman: Yeah
Marco Rodriguez: Okay. And, could you please provide a sort of break up if you, or distribution of those 120 people who are the alumni versus the ramp people?
Bob Whitman: Yeah. Of the 120, I think in the chart that we included I think shows it, as of the year end we had about 62 that were new client partners who would be in the ramp. And so the difference would be people who are ramped up. Alumni client partner or people who’ve gone passed the ramp and got in there. So that would be -- so it’s roughly 50-50 breakdown. And so what really is embedded in our growth, I mean if we can continue to, we’ve had been fortunate and we think had a good record now being able to ramp up new sales people. And so, even if we were to stop hiring new sales people we’ve got 60, approximately 60 people they are still in the ramp in some form. And so we’d expect just the people in the normal course of ramping up would add significant revenues in 2013, ‘14 and ‘15 just from the continued ramp up independent of the new hires.
Marco Rodriguez: And of those 62 new CPs, I mean can you differentiate who is like how many or at one and who is at four?
Bob Whitman: We can’t. I’m not sure we have that. Maybe there’s something we got to provide for everybody in the next quarter. But we’re happy to try to break that down for everybody who wants to talk to us can give us a call. But if you look at -- I can just give you a way to estimate it. If you look at our -- the chart on, I think it was slide seven. We provide what the cumulative number is by year. And just looking at that chart actually at slide, hold it, slide 10, you can kind of estimate what the additions were by each year and figure out where in the ramp they are likely to be, but we’d be happy to do that math for you.
Marco Rodriguez: Okay. Great. And then I was wondering if you could also talk a little bit more about the expansion in this sales force here? Looking like you’re being ready to ramp that up next year. Can you talk a bit about your ability to find qualified candidates?
Bob Whitman: Sure. Let me ask Todd Davis who is our Chief People Officer and who is here to respond to that. It’s easier to find top sales people.
Todd Davis: Yeah. Hi. This is Todd Davis. Thanks for allowing me to join. We have a recruitment division in our people service, at our human resources group headed by Aaron Thompson, who is actually a former client partner with us for many years before we put him in his role of Director of Recruitment. And then Aaron has working for him several recruiters mainly contract recruiter, so we can kind of have inflow with the needs of the company. Most of them were specifically focused on the client partner, the sales role that been the biggest levers as we’ve discussed. So we have and had for a long time an ongoing process through lead-generation process through many of the online sites as well as LinkedIn. And we work with several outsource firms and more and more we have -- and it’s true in my many years of recruiting you find the best people from our own people. And so we have a very large internal referral fee. When we have our client partners and consultants already with us, always what the recruiter had on looking for great talent out there with some of the other folks, competitors that we went into. There are certainly pockets in various regions where we will have a challenge, signing in particular any plus talent. And so we’ll move more of our resources including finder speeds and some of these contract recruiters over that area. And so far as Bob mentioned, even just two months into the quarter for these 25 net new hires that we are hiring in that direct offices here in U.S., we’ve got seven of those and they are quite outstanding hires already started. So, overall, we feel good and it’s always our number one area of focus is finding the right people and then focusing on their very quick ramp.
Marco Rodriguez: Todd, you might have just missed. Also, we talk about your perspectives on how the support structure we provide for yourselves that helps us to recruit people who might not be doing the same support elsewhere?
Todd Davis: So as Bob mentioned in his pod, once a client partner comes on board then she or he has quite a network that is invested in helping them with lead generation for their client pipeline with a new world that we’ve added to this part call Inside Business Partner. And the whole purpose of this person is to do all of the administrative work, including setting up appointments and putting all of the information from those appointments in our sales force tracking system. So that the client partner is focused on, and has the time for many hours out of their week, just face to face with clients. So they have an impact business partner. There is another roll called an event registration partner. These are folks hired by the region that are coming, and they are just cold calling and dialing, and finding the right kind of folks that we need to get into all of our events which is a huge source of our lead generation. And then somebody knows to be appropriate client partner what they tend to be advance. So there is quite an infrastructure build there for the client partner. There is a whole sales academy and the client partner when she or he joins the company that they go through where they have intense training involvement, engagement and understanding and learning all of our solutions and have we position those solutions, and how we then meet face to face with the clients, and get into more, and more deeper levels and higher levels within each organization.
Marco Rodriguez: Okay. Got it. And last quick question here and I’ll jump back in the queue. Could you provide an update on the hiring of your Area Directors, and where you kind of are in completing that part of the strategy?
Shawn Moon: Bob, do you want me to talk about this.
Bob Whitman: Shawn, you probably talk about it.
Shawn Moon: Marco, hello. We extended an offer this week to the final piece of the puzzle, so that is complete for the year. Each of the region as we talked about before, they have a targeted spend of control now with our sales people. This is a big part of the answer to your previous question. How do we ensure that our client partners come on board? They have appropriate focus, they have the appropriate resource, tools and all of the things they need to hit their number. And the Sales Manager and Area Director function is a key part of that and that covered is now complete and moving forward. We are having great success with it by the way. I think we have a process whereby every week the client partner sits down their irrespective sales manager to review their plans, to review their pipelines, to review their actions, clear the path items that are necessary. But they are planning forward for the coming weeks. So there is much higher level of touch than there has historical been, and we’re finding that is helping our client partners hit the ground learning better.
Marco Rodriguez: Got it. Thanks a lot, guys.
Shawn Moon: Thanks Marco.
Operator: Thank you. Our next question is from John Lewis with O. Partners. Please go ahead with your question.
John Lewis: Good morning. Good afternoon guys.
Bob Whitman: Hi, John.
John Lewis: Just a quick question, looking at your balance sheet, I think you guys said that you expect to collect the $3.5 million receivable from Franklin Covey planner in the next three months here?
Bob Whitman: Yeah.
John Lewis: And if you just look at the seasonality and how you generate cash, Q1 is typically more muted and Q2 is strong. I mean, just looking at the kind of seasonality and the related party, would you expect to see your cash double between now and March 1st?
Shawn Moon: I wouldn’t expect it double, but I would expect it to significantly increase, John, for all the reasons that I think you talked about and to increase significantly. I don’t have an exact number to say, but we would expect it to increase significantly. Just now you said that our sales at the end of the year are good. We collect those amounts. We collect money from FCLT and then remembering that in. So all of that money is coming in that’s positive in Q1 and Q2, and then we also have a significant payout of our year-end variable pays and bonuses and things that are tied to year-end numbers that happens in Q1.
John Lewis: All right. Okay. That makes sense. And if you could just replicate the first half of last year and you collect the receivable, it would be something like $11.5 million. I guess one other and you guys said that your game plan is still to use cash obviously about $10 million for share repurchases?
Bob Whitman: Yeah.
Shawn Moon: Yeah. We still have that program in place and that’s what we intend to do.
John Lewis: Great. Well, thanks a lot. Great numbers and congratulations. Thanks so much.
Bob Whitman: Thanks, Shawn.
Operator: We have no further question at this time. I would like to hand it back to Bob Whitman for closing remarks.
Bob Whitman: Great. We would like to thank everyone for being on the call today. I appreciate your continued support and interest. Let me just say as we close that this is a very exciting time for us and the business. We spend years putting in place the practices, the regional infrastructure, the process is to hire ramp-up people and the marketing machinery over the last several years. We feel like we’re now in a position where we move to a different plateau. We were able to do this at a fundamentally different scale. That wasn’t many years ago and the EBITDA that we had in this last quarter was what we had in the year, not quite even. And so we feel like it is a time where we try to teach the companies about execution, but I think as thing focused on, helping our client, partner to be successful, working with our major clients we had about 89 little over, maybe just slightly over 90% of the revenue from 2011 repeated in 2012 in our clients. So there is high resilience and commitments for our customers, our average size of engagement is growing with our customers. One of our goals is to increase our deep pervasive ongoing relationships with our customers and there are number of large, I think large for us. The larger accounts is going to add significantly, and just at every price tier there are just more people doing more business with us. They stay longer and having more impact. The people that we have, I mean, we’ve had just strong people in our sales forces, in our delivery forces and this is an example, I mean recently, we hired a couple of regional practice twitters in our execution practice. One of them was Bill Bennett and you will recognize us from the past who was the President of our Organizational Business Division and he is thrilled to be back as a Regional Practice leader in the Northeast. And we have these kind of people everywhere really just sounding the quality of the people, the quality of engagements we’re having. And so for us we think just within those stroke of the seven practices in which we’re involved, now we have such opportunity even narrowing the targets. So we’re trying to have the discipline to keep those targets narrow on (inaudible) education, multi-unit operators and education. But we recognize as we penetrate those markets within those same categories, there is opportunity for adjacent expansions in similar segments whether it’s secondary education or healthcare or manufacturing execution. So we see really a lot of great opportunities. We think we’ve got terrific group of people who mostly -- who have been here long time. As we did our kick-up meeting this fall, we visited every office and saw everyone of our people and recognize that really our senior people, probably our top 40 or 45 people, there are probably 35 of them who have been more than 10 years and are committed to the mission and doing this. So, for us, it’s an exciting time. We’re committed to trying to keep the momentum moving and feel our pipelines and other things are good and overall basis will have a good 2013 and beyond. So, thanks, again to each of you and hope you have a good rest of the week. Thanks.
Operator: Thank you, ladies and gentlemen. This concludes today’s conference. Thank you all for participating. You may now disconnect.